Operator: Good evening, ladies and gentlemen. Welcome everyone to the NexTech AR Solutions Corp. 2022 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session.  I’d like to remind everyone that this call is being recorded, today Tuesday, March 22, 2022. I would now turn the call over to Ms. Julia Viola at NexTech AR Solutions Corp. Please go ahead, ma’am.
Julia Viola: Hello and welcome to the NexTech Q1 2022 earnings call. With me on the call are Evan Gappelberg, Chief Executive Officer; and Andrew Chan, Chief Financial Officer.  Today before market close, NexTech AR Solutions Corp. released its financial results for the first quarter ended March 31, 2022. A copy of the earnings disclosure is available on our website and on SEDAR. Some of the information discussed on this call is based on information as of today May 16, 2022 and contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statements disclosure in the earnings press release as well as in our SEDAR filings. During this call, we will discuss IFRS results and key performance indicators. A detailed description of our key performance indicators is available in our MD&A, which can be found on SEDAR. Neither this call nor the webcast archive may be recorded or otherwise reproduced or distributed without prior written permission from NexTech. To begin our call, Evan Gappelberg, CEO will discuss 2022 Q1 highlights as well as any recent business development followed by Andrew Chan, CFO, who will review our financial results and outlook. Finally, Evan will make closing remarks before opening up the lines for a question-and-answer period. I'll now turn the call over to NexTech AR Solutions' CEO and Founder, Evan Gappelberg.
Evan Gappelberg: Thank you Julia. Hello, everyone. And thank you for joining us. As usual, I want to thank all of our NexTech employees located throughout the globe for the dedication and hard work. NexTech’s success to this point and into the future is only made possible through their continued commitment, and their striving for excellence.  In 2021 and into Q1 2022, we have emphasized the accelerating adoption and global demand of our augmented reality and 3D model solutions for the metaverse. This is our key growth driver. This is the main business as we move forward in 2022 and beyond. This has been reinforced over and over again, through the multitude of new deals that we have announced during Q1 of 2022 Our AR for e-commerce is winning. We are signing up 3D model deals regularly across various industries and various product categories, the most prominent being furniture, sports equipment, artwork, appliances, lighting, auto parts, and more.  Basically all the e-commerce ecosystem is signing up for 3D models. These deals that we're signing, the pace that we're signing deals has never been experienced before by NexTech. And we believe that this is representative of a rapidly increasing demand globally for 3D models, and ultimately augmented reality. We believe strongly that this will accelerate throughout 2022 and beyond. And as mentioned on our last earnings call, our company's mission is to build the first vertically integrated artificial intelligence powered 3D model factory for the metaverse. Throughout 2022, and the next several years, we're going to strive to accomplish this highly ambitious goal, but attainable goal.  As we transition our company into a SaaS business and a 3D modeling factory for the metaverse, the demand for 3D models is what's driving our business. We are experiencing a tremendous amount of demand in the marketplace. And it's evidenced not just by NexTech but by other investments that are happening in the ecosystem. We are not alone in our beliefs that 3D models and the metaverse is the future of technology. Last year in the fourth quarter it was a tidal wave of investment from venture capital into the VR and AR space.  Nearly $1.9 billion of venture capital rolled into startups in the virtual and augmented reality software and hardware space, more than any other quarter before. And last year, was about almost $4 billion going into the VC space. VC money has accelerated their investing is the point. In the future, and that's what they invest in, they invest in the future. They don't invest in things that are yesterday's technology, they invest in tomorrow. The future is the metaverse and we are a metaverse company.  Seven of the top 10 rounds  last year occurred in the fourth quarter. The fundamental tech trend is here for virtual worlds. If you look at the hundreds of billions of dollars of investors capital, they're positioning themselves now, either by investing in big tech, or by snapping up smaller startups, Snap bought Vertebrae, Epic Games bought Sketchfab, Getty Images but TurboSquid, Niantic about 8th Wall, Qualcomm bought Wikitude. These are all smaller players, similar in size and scale to NexTech that are getting picked off, one by one by one.  The onramp to the metaverse 3.0 is 3D models. And I believe that we are in the midst of the fourth industrial revolution, which is now being hailed as the metaverse. The metaverse is being led by AR, VR, AI, NFT, 3D models, e-commerce, and, of course, the 5G network. And it's all converging and becoming increasingly ubiquitous for e-commerce, advertising and entertainment.  We're seeing this play out in the real world every day. The convergence that we're seeing is stimulating a rapid market adoption environment, similar to the rapid market adoption of the Internet in the 1990s. It drove the creation of $1 trillion industries almost overnight. The metaverse market is what NexTech, what I’ve been waiting for four years to emerge. And it is a market that we are uniquely positioned to capitalize on. The adoption is already underway, but it's still very early, which is the opportunity. It's very early. And that is the opportunity. It's not as early as it was in 2018 when there was no adoption underway. That adoption is happening. We are in the first inning. My belief is 3D models is the gateway to the metaverse. We NexTech are now entering a new phase of major growth opportunity. We at NexTech are benefiting from the paradigm shift in the way people shop, work, travel, meet, learn, and are entertained. That paradigm shift is shifting to our business. It's shifting to the products that we sell, the products that we're positioned for. Again, this is just the first inning of a megatrend. And I've never been as excited about any opportunity in my lifetime. And my feeling is that by the time the masses wake up to this idea, it's going to already be too late.  We're tapping into this $1 trillion opportunity by being the 3D model supplier for the metaverse, essentially the gateway product. We're not competing with Facebook, we're not competing with Microsoft. We're not competing with Google, we're not competing with Amazon. We're enabling them to be even more successful, and they love us for it. E-commerce is an enormous industry. Globally it's a $5 trillion industry. And again, we are the 3.0 3D model factory. If you look at 3D models, they're now ranking higher than 2D images on Google Search, which is creating even more demand, and even putting more wind at our backs.  Shopify has mentioned many times and publicly declared the future of e-commerce is 3D. Make no mistake, we will take full advantage of this opportunity of this paradigm shift. And we feel extremely confident with the way our business is aligned, and the rapid growth that we're experiencing today.  Changing gears, to one of our portfolio companies, we do have a portfolio of companies. If you look at our hybrid events platform, we own a company called Map Dynamics. And in 2022, we are seeing a healthy uptick in our live event business. Map Dynamics’ revenue is increasing by 47% Since Q4, and the average Map Dynamics order was up over 20% compared to Q4 in the previous year. In December, we announced the signing of a multi-year hybrid event a marketplace contract worth over $600,000. That's a big number for NexTech. We're proud to say that last week we executed on the first part of this contract delivering as the event platform for the 2022 Restaurants Canada show and the launch of a 365 Metaverse Marketplace.  So we're taking this opportunity with this event platform and we're turning it into a metaverse marketplace, which is a quite a big deal, because -- and we're doing the pioneering work. The RC Show the Restaurant Canada show is I think the largest food service and hospitality show. It was I think the biggest -- one of the biggest events of the year that happens up in Canada and our technology was on full display. We had a major booth at the show, right, when you walked in. I think we were the first booth that you saw. We had our Map Dynamics event platform on full display.  Shop floor experiences including augmented reality navigation, which is AR wayfinding. We had human holograms, we had 3D models, all of that was on display for the public, at the largest trade show in Canada for the foodservice and hospitality. It was really a tremendous, tremendous showing for NexTech. And it was a major success, because we were able to show in the real world how our technology worked, and we ended up picking up a substantial amount of interest from new customers in our technology. So we believe the 365 marketplace launch opens up a large new opportunity for NexTech to expand the same business model into other industries beyond hospitality. And at the RC show again, we received a tremendous amount of interest from other associations for our metaverse marketplace. And we're excited to see how that unfolds in 2022 and beyond.  When we look at our 3D and AR revenue, again, everything is rapidly accelerating. The demand for 3D and AR models for e-commerce has increased. And that's because of the positive ROI. In 2022 we are seeing new accounts sign up for ARitize 3D and ARitize CAD in many different industries. And we do not see that slowing down anytime soon. In fact, we're seeing reorders. We're seeing signing of new deals from small and medium sized businesses as well as large. We've signed dozens of POCs. Those are essentially test orders with e-commerce businesses that have massive potential to grow.  So we're in this testing phase in the first inning. All the orders, all the business that we're currently closing are the smallest orders. This is just the test. And so our clients have indicated that as the test goes well, and it's already happened, some of them have already stepped up to the plate and ordered significant amounts of additional models. As they all step up and reorder, it represents thousands of additional SKUs and significant potential for future monthly recurring revenue and annual recurring revenue.  We're seeing an uptick in new customers, which again is resulting in our annual recurring revenue continuing to grow in 2022. It's a huge validation of our efforts. This business did not exist in 2021. At the same time, we are now what we believe is we're disrupting the emerging multibillion dollar 3D model market, because we have the highest quality, we have the lowest cost, and we have the most scalable 3D model solution in the world.  All signs indicate that 2022 will be a breakout year for everything 3D. As previously indicated, 3D models for e-commerce, 3D models represent annual recurring revenue. And it's going to be the area of our business that we believe can scale quite quickly, and should be what our investors keep their eye on to measure the health of the company and our growth potential.  I would highly recommend our investors steer their attention away from top line revenue growth because that's essentially our legacy e-com business and focus on what's happening inside the company, which is our 3D model business starting to scale. In Q1 2022, we saw a substantial uptick in customer adoption, either signing 12 month contracts or annual repeat contracts totaling over $1.3 million, which is from zero, and we're just getting started. So Q2 is even better.  In the first six weeks of Q2 we exceeded all contracts signed in Q1 for 3D models, which points to the acceleration we keep talking about actually happening. If you look at our solutions, we have an end to end Metaverse suite. As we've previously demoed, for investors, we've launched a tremendous amount of technology in Q1, and rolling into Q2.  Just a recap of some of our announced launches. ARitize 3D, which is our 3D model and web AR for e-commerce platform, launched AR’s Maps, which is the spatial mapping metaverse platform, launched ARitize Holograms, human hologram creator app launched ARitize 3D-Shopify integration, launched, ARitize Swirl, ARitize Social Swirl, launched -- I mean, all of this indicates a very healthy technology company that you're invested in, that we are continuing to hit our milestones.  In 2022, we announced ARitize Metaverse suite launched, ARitize 3D for big commerce, launched -- very shortly, we will be able to announce that we've integrated with WooCommerce, which is a significant platform similar to Shopify. That will be happening in Q2. We are also going to be integrating with Magento, another significant platform. We're also going to be announcing the Android version of our human hologram creator app ARitize Holograms and we're also going to announce later this year, our CAD to Poly SaaS business will be launched.  SaaS integration with our product line does have significant implications to the scalability of our products and NexTech’s revenue growth. With our continued rollout of our SaaS platforms, NexTech continues to move away from the managed solutions. We've almost completely moved away from managed solutions. And we're now focusing on annual recurring revenue and monthly recurring revenue, which is low touch. We are just beginning to see the revenue in business emerge as we move full force into 3D model making, augmented reality and Metaverse solutions with our new SaaS products which I just announced, we've launched. The massive opportunity for making 3D models for e-commerce is estimated to be worth over $200 billion. We're just breaking the million dollar level. So we haven't even scratched the surface. This is the tip of the iceberg. And it's only a matter of time, in my view, before our competitors lose their ability to compete, and NexTech becomes the 800 pound gorilla in this space.  If you look at the number of models that we've served, we currently have 4.5 million total 3D AR models served. That means there's 4.5 million experiences 3D and AR experiences that shoppers, consumers have experienced on our platform, 870,000 3D models served in Q1 alone. That speaks volumes. That speaks volumes. If you divide 870,000 by 90 days, to do the math right now that's almost 10,000 views a day, which is incredible, incredible. So the average for the last year was much lower. Our increase in average downloads is growing very, very rapidly, and it will continue to grow.  So in closing 2021 was a transformative year for NexTech and 2022 is shaping up to be a breakout year, a substantial year of growth for our key growth driver, which is 3D models and AR. Again, it's critical that investors focus on the main event, which is not our legacy e-com business, which is shrinking and just focuses on our fast growing 3D model, metaverse business. We're focused on obtaining greater industry leadership and being the top provider of augmented reality and 3D model solutions for the metaverse.  We have a unique position as one of the only end-to-end metaverse solution providing Spatial Mapping, augmented reality 3D models for the metaverse, which creates unique immersive experiences that people are willing to pay us for. If you look at the potential, we believe the total addressable market is a $0.25 trillion. We believe that the SaaS market is just massive. Our AR products and our 3D models are very sticky, and have significant implications for continuing monthly recurring revenue and annual recurring revenue, which we believe will accelerate with the adoption and stickiness of our entire augmented reality suite of products and services.  I expect 2022 to be a year for hyper growth of all things augmented reality, 3D and the metaverse. I said it over and over again, that this will be a multi-decade, multi-trillion dollar mega trend. I started saying that in 2018. It's now actually being parroted by many analysts on the Street. I'm very excited for what the future holds. I feel the company realizing its dream. And this is just the beginning, just the beginning. The tip of the iceberg. I have confidence in our company's direction, belief in our executive leadership team and in every employee working to build the vision of the metaverse.  Before I turn it over to Andrew Chan, our CFO I'm just going to say a few more things. We delisted from the NEO last week. We announced the delisting or voluntary delisting. I decided to delist. Nobody asked us to delist. I just made the decision to delist. Common shares were delisted as of Thursday, May 12. This was done to reduce the associated cost of being listed on multiple exchanges in Canada because we were duplicating the expense because we were listed on the CSE.  I would also like to note that the shares have had two positive trading days since we delisted, and that I don't believe in coincidences. So Thursday and Friday were both -- Thursday actually Friday and today were both positive trading days. I believe that on the NEO, the shares were being targeted. But now we are no longer on the NEO and we are much less likely to be targeted. I don't have any evidence to back this up. So time will tell but I do believe that getting off the NEO exchange was a positive for shareholders not just for the company in saving money, but also the way the stock trades. The company's shares will remain listed on the Canadian Securities Exchange and on the OTCQB. Just talking for a minute about market conditions, I want everybody to put things into perspective. Perspective is critical. As we all know, the current market conditions are rough, to say the least for small cap stocks. 50% of the NASDAQ is down 50%. 50% of the stocks are down 50%. That's a huge, huge drop 22% are down 75%, 22% of all the publicly listed companies on NASDAQ are down 75% and 5% are down about 90%, meaning stocks got crushed down about 80%, cryptos getting crushed.  The decline in 2022 is the second worst decline in history, second only to 1932. 1932 was, what 90 years ago. I don't think any of us on this call were alive 90 years ago. So if that's true, then this is the worst decline of our lifetime, certainly of my lifetime. But we will survive. And we will thrive. In fact, NexTech is in the right place at the right time with what we are selling. My point is that our stock is not going down because of solvency issues, it's going down because the entire market is going down. And as the largest shareholder of NexTech, I can empathize with all of your frustrations. I'm sure you are frustrated with the share price decline as I am, and I've been as affected. I would even argue more effective than anybody else with these declines in NexTech.  The company and I are doing everything we can to bring shareholder value. And it will emerge over time as the market recovers and realizes the value of NexTech's groundbreaking technologies and solutions. It's important to think long term, 12, 24, 36 months and remember that this is the beginning of a long journey where patients will be rewarded. As mentioned previously, I am working night day, day and night to unlock the value of our many assets and businesses that we own as a diversified technology company. We are very close to signing a deal for a possible spin out of our metaverse builder platform ARitize Maps, which was on full display as mentioned earlier at the Restaurant Canada show last week in Toronto. If this happens, it's an if, it's not a guarantee, if it happens, it will result in a free stock dividend to shareholders of record. That means if you all have the shares, you will get additional shares in this spin out. If you don't own the shares you won’t. The goal here is to increase shareholder value. We're very close. Not a guarantee. But stay tuned.  With that, I'm going to turn the call over to NexTech CFO, Andrew Chan to provide further commentary on the quarterly financials. Take it away Andrew.
Andrew Chan : Thank you Evan, and good evening everybody. As a reminder unless otherwise noted all figures reported on today's call are in Canadian dollars under IFRS. All the preceding financial information is now available on our website and have been filed on Sedar, at close of market today for your reference. Total revenue in the first quarter was $3.5 million down from $7.7 million for the same quarter last year. These revenues continued to reflect the shift in our business from virtual events to 3D and AR and the metaverse. Our product sales revenue for the quarter was $3 million, down from $6 million from the same quarter last year and down from $4.2 million in the immediate preceding quarter, reflecting the continued impact of COVID 19 on the supply chain and the ability to obtain desired inventory products for sales on our ecommerce platform.  These macroeconomic effects were felt across all ecommerce platforms this quarter in their respective published results as well. We do not anticipate large volumes of virtual events this quarter as revenues -- due to the shift in our focus from 3D AR revenue generating products and away from technology services as Evan mentioned and virtual events. During the quarter we had a gross revenues of $127,000 related to technology services and virtual events and after taking charges for credits and refunds, net revenues were $37,000. Renewable license revenues were up 25% to $460,000 this quarter compared to the same quarter last year. And we saw a 14% increase in 3D recognized subscriptions revenue and 47% increase in revenues related to our hybrid events MAP  platform compared to Q4 2021. This is a result of revenue recognized from our 62% growth of ARR to $771,000 in the latest quarter. As a result of our lower revenues, gross profit also came in lower at $1.5 million compared to $3.3 million for the same period last year, while maintaining a 43% gross profit margin. Product Sales gross margin saw an improvement from the immediate preceding quarter of Q4 2021, an increase of 42%, from 36%, as we focused more on profitable items that were limited, products that were available due to COVID-19 related issues as we mentioned previously. Technology Services gross profit margins increased to 49%, up 26% from Q1 2021 and up 17% from the immediate preceding quarter of Q4 2021. So the focus now has shifted to more profitable 3D AR products. We anticipate gross profit margins to increase even more as we continue to scale the business related to these products. Operating Expenses for Q1 was $7.5 million, down from $2.7 million in the same period last year, and down $1.1 million from Q4 2021. The decrease in operating expenses in the quarter continues to be from sales and marketing and research and development expenses.  Similar to the immediate preceding quarters, this is a continuation of our effort to shift our growth related to our 3D AR business. During the past few quarters we have now restructured their sales force and marketing spend to be a more cost effective model for the result -- for the new pursuits in AR sales, and with the intention of lowering overall sales cost as a percentage of revenue over the upcoming quarters. The decrease in research and development costs continues to be the result of shifting our development focus to AR products resulting in overall lower headcount in this area. General and Administrative costs remained consistent. However, there was a onetime $650,000 charge $650,000 charge of non-cash compensation to specific management team members. Excluding such charge general and administrative costs would have been reduced by 20% in relation to the average spend compared to the immediate preceding quarter in this area. We continue to actively monitor and reduce our expenses where necessary to be aligned with anticipated revenues and growth. We had a net loss in Q1 of $7.7 million compared to a loss of $9.1 million in Q1 last year, and a loss of $9.3 million in Q4 2021, a reduction of over $1.5 million, mainly from the contribution of the reduced expenditures as mentioned above. As of March 31, 2022, we had a cash balance of $10.8 million, inventory of $2.5 million and a positive working capital $12.5 million. Based on our current projections of sales and cost reductions we feel this is sufficient capital to finance our business over the next 12 months.  With that I turn the call back over to Evan.
Evan Gappelberg: Thank you, Andrew. On behalf of NexTech, I'd like to thank everyone for taking the time to join us on this call. Thank our employees, shareholders, partners. We thank everybody. We're now ready for the question-and-answer portion of this call.
Operator: Thank you everyone.  We'll hear first today from Scott Buck with H.C. Wainwright.
Scott Buck: Hi, good afternoon, guys. Thank you for taking my questions.
Evan Gappelberg: Hey, Scott, how are you?
Scott Buck: Good, good. So Evan, I think the first question is, obviously a nice sequential step up here in ARR. What of that is new customers versus expansion with current customers?
Evan Gappelberg: Well, most of our growth is coming from new customers, but we are getting repeat orders from some of our bigger accounts. Kohl's, just doubled down and gave us a six figure, 12 month contract. But a lot of the growth Scott is being driven by new customer wins. And we see that continuing to 2022.
Scott Buck: That's helpful. Evan, do you know or have you guys done the work, if you weren't to add another customer this year, what the potential opportunity is just within the current customer footprint? I mean, the multiple multiples of where you are today? 
Evan Gappelberg: Yeah. It is. It's funny, you asked that question. We did an hour long session this morning to flesh that out exactly what's the growth potential of our existing book of business? It is substantial. I don't have an exact number. But yes, it is multiples of the existing business. Because as mentioned over and over, these are test orders. These are the smallest orders that we're getting in Q4, Q1 of 2022.
Scott Buck: Yeah, no, that's helpful. And then I just want to check in, like cost reductions, where are you in that process? I mean, are you there at this point, in terms of where you want to be on an OpEx, given OpEx in 24 is still  to go.
Evan Gappelberg: Probably not. We look at this as a continuing balancing act to offset our, our burn and increase our revenue. So I would expect another $1 million to $2 million in cost savings in the next quarter that we're still we're still trimming, trimming, any fat and continuing to grow our revenues.
Scott Buck: All right, that's helpful. That's all I have. And I appreciate your time, guys. Thank you very much.
Evan Gappelberg: Thank you, Scott.
Operator: We’ll hear next today from Lisa Thompson with Zacks Investment Research?
Evan Gappelberg: Hi, Lisa
Lisa Thompson: I was wondering, since revenue probably is not the way to look at things. Are there any metrics? Or what should we focus on to figure out how progress is going? And where you're meeting your goals?
Evan Gappelberg: Yeah, so I would say revenue is a thing. It's just not the e-commerce legacy revenue that I would be focusing on. So that revenue is shrinking, but if you look inside the company, you'll see that our annual recurring revenue, the revenue tied to the 3D model business is growing quite rapidly. We announced a 62% sequential growth in that revenue. 
Lisa Thompson: Okay, so is there any metrics you're going to give out about how many models made or how many customers or anything that we can look at?
Evan Gappelberg: Yes, I would say that we are planning on bringing that forward. I don't know if -- we haven't actually brought it forward in Q -- I guess. We haven't brought it forward yet. But it is something we are going to bring forward. I don't know if Andrew has any opinion on that. But we are planning on bringing forward the number of models, number of customers. We just don't want to confuse the market, because it's so early that these -- if you look at, for instance, our average order value going up 100% quarter-over-quarter, I would have never have guessed that could have happened. But it happened.  And so if you were looking at, let's say, our average order value, last, not this quarter, but last quarter, and done a 12 month projection, you would have been way off. You look at this quarters, you don't say so it's like, everything's just still pretty fluid. We're trying to get a real understanding of what we could project, what we could project out with confidence, and then we're going to certainly give that to you.
Lisa Thompson: Do you have an idea of how much of the revenue is kind of a pro model thing? And how much is recurring revenues that are monthly?
Evan Gappelberg: I think we broke it out where it was, like $770 something was per model. And then the rest was some of our other recurring revenue business.
Lisa Thompson: Okay, do you think that per mile business is going to be seasonal?
Evan Gappelberg: No.
Lisa Thompson: Okay, its just going to build from here, doesn't matter what quarter it is? 
Evan Gappelberg: Yeah, it's just going build I don't see it -- we're seeing -- we saw demand in Q4, we're seeing continuing demand in Q1, Q2, we're seeing an even larger uptick in demand, I think, what's driving demand is big tech, kind of forcing the hands. And putting 3D models higher up in search, by Shopify, essentially telling their e-commerce sites to go get 3D models -- 3D models. And then, of course, the ROI. Once they do get the 3D model on their site, they come back for more.
Lisa Thompson: Okay, yeah, thanks. 
Andrew Chan : Yes, I think to Evan’s earlier point, yeah, I mean, ARR were relatively early in the process for seasonality. I mean to all the industries that Evan had talked about earlier, they're the beginning customers of those industries seeking 3D models. So any kind of sense of seasonality and content, I guess it’s really too early at this point.
Lisa Thompson: All right. And are you still constrained by just getting enough people to crank out models? Is that where we're at still? 
Evan Gappelberg: No. Not at all. 
Evan Gappelberg: No, okay. 
Lisa Thompson: Great, that's great. All right. And just one last thing, just to help us poor analysts, how do we think about e-commerce this year, given supply chain and everything else? Do you feel like it's going to be down 50% for the year? Or is it going to be kind of flat, sequentially going up. How is that…?
Evan Gappelberg: It's a tough call, Lisa, because we don't control supply chain, right. So we place the orders. And if we get a delivery, we sell through it. If we don't -- if they say no, we can't you know. So being told that we had a couple of orders that were not delivered. And so obviously, we couldn't sell. And so now we're getting some of those -- some of those orders are now flowing, flowing in and going out. So we're going to sell so it. But it's impossible to predict what ‘22 looks like. I mean, I wouldn't use this quarter as, let's say the metric by which to measure things by. I would say that it's just impossible. I don't have a visibility, do you Andrew?
Andrew Chan : No, I mean, I think you would have seen other kind of e-commerce platforms come up with their quarterly results. And they weren't good either, and there wasn't quite a definitive answer to any of those questions. It’s just right now we're kind of in a holding pattern, similar to what Evan has said. And we're just -- like he said -- once we get product we sell through it. But right now it's a matter of kind of getting products.
Lisa Thompson: So if you had to just guess for this quarter, is it going to be up or sideways or any direction? 
Andrew Chan : My guess would be, it'd be up from kind of this quarter.
Lisa Thompson: Okay. 
Andrew Chan : But are we going to get to where we were before? That's still kind of TBD.
Lisa Thompson: All right. Great. I'm glad we had this conversation, because it's been hard to try to figure things out. All right. Great. Thank you so much. Those were my questions.
Evan Gappelberg: Thanks, Lisa.
Operator: . We’ll hear next today from Randy Osock , a private investor.
Unidentified Analyst: Hi. 
Evan Gappelberg: Hey, Randy. 
Unidentified Analyst: Hi, how are you? Great. You mentioned on a podcast, I think it was Wall Street Reporter about to be cash flow positive, you would need like 100,000 models. I was wondering how many paying models you have done at the present?
Evan Gappelberg: We've announced that we've done over 10,000. But we haven't put an actual number on it. It's between 10,000 and 15,000. But yeah, it's I mean, it's growing every day. So and I don't remember saying that we that we need 100,000 models to be cash flow positive. But if I did say that, let's this also keep in mind that I might have said that if we were using let's say $10 per model per month, which was our expectation, but we're actually getting more money than we anticipated.  As mentioned earlier, our average order value is going up. And a lot of that is because we're getting $20 per model per month. And in some cases $25 per hour per month, so or $15 per model per month. So it's still early. It's still a moving target as far as you know, when we get to cash flow positive. That's really all about that.
Unidentified Analyst: Great, thank you very much.
Evan Gappelberg: You're welcome.
Operator: We'll hear next from Peter Levine with Ameriprise Financial.
Peter Levine : Hi, gentlemen. Thanks for taking the call. Very much looking forward to NASDAQ future. I had a quick question on your cash burn? What do you anticipate it will be for this year in total?
Evan Gappelberg: I'm not sure about the total. But I can tell you that we're getting it down to sub $1 million per month. So I'm not sure -- you could figure somewhere between $10 million and $15 million. Does that sound reasonable to you, Andrew?
Andrew Chan : Yeah, that's on our technology services side.
Peter Levine : Okay, so the expected to go to the market as again, as you did this past quarter, or do a private placement, I guess?
Evan Gappelberg: No, we do not. As we announced. We raised a bunch of money in January. And we believe we have enough money for the next 12 months. So that means all of 2022. 
Peter Levine : Okay, and this is the question you were getting sick of hearing from, but -- given the status of the markets and everything else, but I'll throw it out there. NASDAQ listing, timing, not even a thought anymore. Where are we on that?
Evan Gappelberg: No, it’s definitely still a thought. And it's definitely something that we want to do. But it has moved down the ladder as the share price has come down. There's a lot of other things that are more pressing. Doesn't really seem to be as important today as it was in the past. And so it is still -- definitely, let's say nothing's changed. Our application is still active. And we are still engaged. But it's less of a focus. My focus is building the business and running the business. And so NASDAQ while important, less important in a down market environment, much more important in a bull market.
Peter Levine : Yeah, for sure. So I don't want to stick you to a date or anything else like that. But it sounds to me like it's a 2023 possibility, and nowhere in 2022, if anything?
Evan Gappelberg: You could make that assumption. I didn't say that. 
Peter Levine : No, I didn't say -- I know you didn't, I'm just saying, that's what it sounds like that's what it is. And of course institutional investors need to have it on a major listing, and I love your story. But that is -- it's like a chicken and the egg type of question here, when it comes to that. 
Evan Gappelberg: Let me add, institutional investors buying small cap stocks today or they are selling dumping. So, again I'm not saying we don't want to be listed, but you don't want to get listed in the middle of a storm, right? So timing is everything. Be patient. Yes, we will get listed. Today it's not really a topic that I think is relevant to any of our investors. So any other questions?
Peter Levine : No, just on the cash burn and the NASDAQ deal and that's really what I'm seeing here. And I'm glad that the pivot that you're making to the 3D models and wish you guys a lot of luck.
Evan Gappelberg: Thank you very much. 
Peter Levine : All right, thank you
Operator:  We'll hear next from Richard Reiter , a private investor.
Unidentified Analyst: Hello.
Evan Gappelberg: Yeah, how are you doing, Richard? 
Unidentified Analyst: Hi, how are you doing? Just I was listening on the website to your call. And I signed in at 5 o'clock, and it went dead. And so anybody on that, and I called the company before and they just said they were working on it. And so I don't know how many people tried to listen on that network. But I heard about 30 seconds of you. And then I finally was able to find the number from Q4. They give me your number. So I called in. Now I've been listening, but I lost the first half hour of the whole thing. 
Evan Gappelberg: Well, I have good news for you, Richard. This is recorded, you will be able to listen to the replay, didn't miss a thing.
Unidentified Analyst: Okay. All right. Let me let me ask a question, though. Why do you want to spin off something, the map? 
Evan Gappelberg: Because yeah, I'll explain. So again, just to reiterate, I spent 30 years on Wall Street. And what I've recognized is that often times, companies have undervalued assets, especially small cap companies like NexTech. I do not believe that ARitize Maps is getting any valuation at all, from investors. I do not believe that that asset is being valued properly, and the spin out allows that business to stand on its own and to not be kind of almost hidden inside of NexTech. And so the spin-out allows investors, you, me and everyone else on this call to participate in the unlocking of that value.  So we will be able to issue a dividend, stock dividend to our shareholders. So if you own NexTech, you will get free shares in this new company. So instead of owning just NexTech shares, you will own shares in NexTech plus the spin out. And as that spin out increases in value, which obviously, we believe it will, your portfolio increases in value, and we help to build our shareholder value. And that's really my goal. That's the reason why we spin it out.
Unidentified Analyst: How much business are they doing now?
Evan Gappelberg: It's a startup. It's just a startup. They're literally just starting. So they're not -- it's not going to affect our revenue at all. We don't lose anything. We only gain.
Unidentified Analyst: Okay. I don't know if it's proper to say this, but I’ll go ahead and listen to the replay when it's available. And I might call you back. You put my name on the side because I've been waiting a long time to hear this call. I was quite disappointed when it stopped so I want to digest the material one they call on, I might call the company and say hello. So I hope you don't mind that. 
Evan Gappelberg: No. 
Unidentified Analyst: Thank you. 
Evan Gappelberg: No problem. We're here. Bye Richard. Thank you for tuning in.
Unidentified Analyst: I have listened to all your Wall Street Reporter stuff. I've been listening for a couple of years now. So I have quite a few shares. So I am interested. Okay, well, thank you. Yeah. Have a good day. 
Evan Gappelberg: Thank you, Richard. You too. All right, we'll take another couple, another call. Another question.
Operator: We will hear next today from John Reynolds, also private investor.
Unidentified Analyst: Hey, Evan.
Evan Gappelberg: Hey, John. How are you?
Unidentified Analyst: Hey, I’d like to clean up a little with this NASDAQ business for some of our valued shareholders who are continuously hitting you to do that. Just I had a company, a private company I invested in that went public and they wanted to go on NASDAQ and did so but people aren't buying stock because just because you're on NASDAQ.  We've had four reverse stocks was just to meet the $2 share minimum thing. And it's I am not doing too well with reverse stock split. So I think people need to realize that institutions aren't going to buy stocks just because they have a share price at $2 and they're on the NASDAQ. So I think people really need to be patient with you. And let's just move through this. Because I don't think anybody here wants to have a reverse stock split.
Evan Gappelberg: Yeah, I appreciate that. And I think more to your point, there is no nirvana. There's no magic silver bullet. NASDAQ’s certainly not a silver bullet as Richard mentioned. Plenty of companies that struggle on NASDAQ. I guess my mistake was, I thought we were going to get listed on NASDAQ. So I told our investors and they seem to remember that and they don't want to let it go. It's kind of like something that they become a bit obsessed with. But thank you, Richard for sharing that story.  Did you have any questions for me? 
Unidentified Analyst: This is by the way, not Richard. But…
Evan Gappelberg: Sorry. 
Unidentified Analyst: That was pretty much it. I just -- people are hammering the NASDAQ thing. And I just think that they need to be more patient and let's keep moving forward the way you are by growing the company and the proper time we'll get on NASDAQ, I'm sure.
Evan Gappelberg: Thank you, John. I sincerely appreciate your support. And I think investors should listen to what John is saying, because what he's saying is the truth. And again, there is no nirvana. There's countless companies on NASDAQ that don't go up. It's not a guarantee. Now having said that, when the timing is right, and our business is growing quite rapidly, I do believe we belong on NASDAQ. I do believe that the institutions will buy our stock. And I do believe that it will be a big benefit to NexTech. But as mentioned earlier, the timing of it is critically important.  So I don't believe that right now is the time to go, pedal to the metal on that. So let's just leave the NASDAQ conversation. We could have a whole -- we could pontificate about NASDAQ for a whole hour here. 
Unidentified Analyst: So I'd rather see…
Evan Gappelberg: Thank you.
Unidentified Analyst: …forget the NASDAQ.
Evan Gappelberg: Exactly. Thank you, John. I appreciate your input. And have a great evening.
Operator: And that is all the time we have for questions today. I'd like to turn things back to you all for any closing remarks.
Evan Gappelberg: Yeah, I will just thank our investors. It is turbulent times. My focus is on increasing shareholder value. I don't believe you'll find another CEO as heavily invested as I am. And with that, I will end today's call. Thank you for participating everybody, and everyone have a pleasant evening. Good night.
Operator: And again, that does conclude today's conference. Thank you all for joining us. You may now disconnect.